Operator: Good evening and welcome to the IDW Media Holdings Third Quarter Fiscal 2022 Earnings Call. During management's prepared remarks, all participants will be in a listen-only mode.  After the prepared remarks, you are invited to participate in the Q&A.  Iâll now turn the call over to John Nesbett of IMS Investor Relations.
John Nesbett: Good evening. I'll take a brief moment to read the safe harbor statement. Any forward-looking statements made during this conference call either in the prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to specific risks and uncertainties discussed in the company's SEC filings. IDW assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. Please note that the IDW earnings release is available on the Investor Relations page of the IDW Media Holdings corporate website. I will now turn the conference call over to Allan Grafman. Please go ahead, Allan.
Allan Grafman: Thank you, John. And thank you to everyone on the call for joining us. While this is my first call as CEO of IDW, I joined the IDW Board in 2019. I'm excited about this opportunity to build on the solid foundation the Company has established. IDW is one of the premier independent comic and graphic novel media companies in the country with outstanding resources in both our publishing and entertainment divisions. Over the past several weeks, I've been spending time with our talented employees. We've made solid progress to-date with our strategy to strengthen our original content library. And we have tremendous potential to accelerate our growth. Our growth will come from leveraging our internal expertise and our strong relationships with creators. We continue to develop unique characters and stories that appeal to a broad and growing audience. And we will be bringing new relationships to the company that will facilitate new opportunities for IDW, just watch us. Over the coming weeks, I look forward to meeting many of you in person. Now, onward to the subject of today's call, my remarks today will provide an overview of our strategy and execution during the third quarter of fiscal year 2022, which closed July 31. After my remarks, Brooke Feinstein, our CFO will provide details around our financial results, and then we'll be happy to take your questions. Our third quarter demonstrated continued progress and revenue growth of 14%, primarily related to our delivery of the first season of Surfside Girls, which they viewed on Apple TV in mid-August. As we moved toward the close of our fiscal year at the end of October, we also expect to realize revenue and bottom line contributions from the fourth quarter delivery of Season 3 of Locke & Key. With our heightened focus on original content, we're encouraged by the rate at which we're adding new entertainment projects to our roster. We are committed to sharpening our focus on acquiring and developing original IP content. And we are beginning to see solid traction from our efforts to expand our publishing library. To that end, in August, we announced five series development deals with a range of well-known studios, networks and streaming services to develop television series based on our IDW Publishing and Top-Shelf Productions, graphic novels, and comics. Our originals represent some of the most creative characters and stories available, and we look forward to continuing to tap our robust library for adaptation into compelling stories, feature films, and podcasts with the industry's leading authors and content creators. A recap, currently we have over 100 original titles in our library with 40 new titles at various stages in the development pipeline. Our goal is to add about 40 quality original titles each year. Our original IP is an economic driver of the business, and also a creative engine providing IDW access to new genres and audiences. In a noteworthy accomplishment, we recently announced our first co-development deal with Matt Silverstein and Dave Jeser for the launch of a comic book and television series, based on the comedy sci-fi project, Family Time. We have been thoughtfully working to advance our co-development strategy for some time. Through creative partnerships between our Entertainment and Publishing divisions, we can open up new distribution avenues for our projects, with the goal of bringing compelling new contents to audiences across multiple platforms. We are seeing positive response to our original titles and heightened industry recognition of our value as a collaborative and independent creative partner. We remain focused on driving strategic growth by partnering with creators, to develop iconic characters and stories that will resonate across diverse media platforms. This is a really exciting time for IDW, and we are just beginning to realize the results of a lot of work by a lot of team members. As we move through the close of 2022, we are very well positioned to drive our refocus strategy by leveraging the strength of our content library and our pipeline of new projects to continue developing new creator relationships. Likewise, our strong balance sheet provides a solid foundation as we look to grow our position as a leading independent media entity and drive accelerated growth across all platforms. So now, Iâll turn the call over to our CFO, Brooke Feinstein to go over our financials for the third quarter of 2022.
Brooke Feinstein: Thank you, Allan. My remarks today will focus on the third quarter of our fiscal year 2022, the three months ended July 31, 2022, except where I indicate otherwise, Iâll be comparing the third quarter of our fiscal 2022 results to the third quarter of fiscal 2021. IDW Media Holdings third quarter consolidated revenue increased 14% to $7.7 million compared to $6.8 million a year ago. Publishing revenue decreased slightly to $6.6 million in the third quarter compared to $6.8 million in the same prior year period, primarily related to a decrease in the direct market of $1.1 million due to the strong comic release of The Last Ronin #3 in the prior year. Distributor transitioned to Penguin Random House this year and fewer titles released during the current year quarter. In addition, we saw a decrease in games revenue, as we are only back filling orders on previously created games. These decreases were partially offset by strong exclusive Scholastic sales from Sonic the Hedgehog and strong book market sales of The Last Ronin collection Teenage Mutant Ninja Turtles Hardcover and They Called Us Enemy. Entertainment revenue increased to $1.2 million in the third quarter of 2022 compared to no measurable revenue in the prior year period related to the full delivery of season one of Surfside Girls. Our consolidated loss from operations was $768,000 in the third quarter compared to a consolidated loss from operations of $2.1 million in the prior year period, primarily driven by an increase in operating income from the entertainment side of our business of $1.9 million. IDW Publishingâs loss from operations was $584,000 compared to income from operations of $74,000 in the third quarter of fiscal 2021. IDW Entertainmentâs third quarter income from operations was $48,000 compared to a loss from operations of $1.9 million in the third quarter of 2021, included as an offsetting cost was $0.4 million in recouped advanced fees associated with production of season four of Wynonna Earp. Net loss in the third quarter was $837,000 or $0.06 per share compared to a net loss of $941,000 or $0.09 per share in the same prior year period. Turning now to our balance sheet. At July 31, we held $10.3 million in cash and cash equivalents and had no debt. Working capital, current assets, less current liabilities totaled $18.1 million. Our balance sheet remains strong with a solid cash position and no debt providing us with the resources and financial flexibility we need to continue growing our IP library and investing growth opportunities. We continue to direct our focus toward original content and we believe that we are well positioned to grow our IP library and feed our Entertainment segment to generate consistent high margin revenues across the business. That concludes my remarks. Now, Allan and I would be happy to take your questions.
Operator:  First question comes from Tyler Wright with Swiss Rock Capital. Please proceed with your question.
Tyler Wright: Hey guys, thank you for taking my questions. So my first question is the management change, does this signify a change of strategy?
Allan Grafman: So, this is Allan Grafman. Thank you for that question. The short answer is no at this time. Iâm 12 days in, and Iâve been active with the company for three years having been on the board. So no, this does not signify at this time a major change in strategy.
Tyler Wright: Okay, got it. Thank you. And then my second question could you just provide some additional details about Allan, your background, particularly, whatâs relevant to your new role at IDW as CEO?
Allan Grafman: Sure. Would be happy too. What you need to know about Allan Graftman is that I love to monetize intellectual property and content, and Iâve been doing it for a long time. If you think of a bell curve, the middle part of my experience is doing just that at large companies like ABC Disney and Hallmark and mid-cap companies, and a lot of emerging growth companies. And Iâve done it in a variety of roles, including from Chairman to President to CEO to EVP. Iâve executive produced a couple shows. And over the past several decades, I have a large body of only work experience, but also relationships that I am focused on bringing to IDW. Iâd be happy to expand on it, but thatâs the short version and thereâs more on me and Iâd be happy to answer that or publicly available material can amplify what Iâve just touched on.
Tyler Wright: Okay, great. Thank you. That thatâs very helpful. Thatâs it for my question. Thanks a lot guys, thanks a lot.
Operator: And the next question comes from the line of Edward Reilly with EF Hutton. Please proceed what your question.
Edward Reilly: Hey guys, thanks for taking my question. First off, congrats, Allan looking forward, seeing the continued momentum for IDW. I was wondering if you could maybe talk a little bit about the cadence of the delivery for the five new shows, wondering if you expect those to be delivered in the next fiscal year.
Allan Grafman: So, Ed, thank you. Thatâs a question that I appreciate you are asking. So, as I mentioned previously, Iâve been involved in television production, both as a producer and an executive with a number of companies. So to clarify the shows that were announced were optioned. So the process is such that thereâs original IP, which IDW controls, there is much activity in the market selling those different opportunities. We now have recently concluded options on a number of those shows. During that limited option period, there is work thatâs done to move that forward with scripts, with presentations, with internal conversations. And then at some later date, there is a commitment for the property comes back to IDW. So just to clarify again, those that were announced were optioned. We are hopeful and expecting and working towards turning those into productions, but at this stage not able to comment any further than that.
Edward Reilly: Okay, gotcha. Any possibility for a four season of Locke & Key on a different streaming platform? I donât think Netflix is picking it back up. Correct me if Iâm wrong there.
Allan Grafman: So I can â so I wonât speak specifically to Locke & Key because that would be projecting forward. But I can say that there are instances in similar situations where successful shows, which Locke & Key is either the controlling party rethinks with some guidance from the party selling a show, or there are ways to monetize it further with the same party through possibly prequels, sequels, other characters, or even taking the show lock, stock, and barrel elsewhere. So while Iâm not speaking specifically about any particular show, there are many ways to monetize a successful show similar to Locke & Key. Does that answer your question?
Edward Reilly: Yes. Yes. Thanks. Thatâs really it for me. Appreciate it and congrats.
Allan Grafman: Thank you.
Operator: And our next question comes from the line of Devin Zhou  with North First Capital. Please proceed with your question.
Unidentified Analyst: Hey guys. Thanks for taking my questions and congrats on the new role. I just wanted to follow up on a previous question, given your few days in the new role, but as your previous involvement, could you speak to some of the opportunities at the top of your mind for better execution and whatnot? And then maybe what you thought the company did well to begin with?
Allan Grafman: So Iâm going to ask you to repeat the question that was a little garbled on our end, please. So could you please repeat the question?
Unidentified Analyst: Yes. So what do you think given your previous involvement, what you saw some of the opportunities for IDW to do better, and then what you think IDW is doing well already?
Allan Grafman: So I can speak to the past. One of the areas that has been changed is the reduction of the amount of capital that the company will put at risk in promoting and developing its shows. If you look back through the past, youâll see that the company had, I would say very large capital commitments, especially for the size of this commitment and was active in a way that history has shown was not appropriate. There was in short too much capital put into a project or two and over the preceding year or two, the company has moved away from that model. So we are now entirely focused on what we can do best and where we can be a preferred partner where we control the IP, where we have a role at the table to monetize that IP and where we partner for success. But we do not finance that that is something that the company is not in a position to do.
Unidentified Analyst: Got it. Okay, great. And then follow-up through the five auction deals, are you able to speak to the potential scale? Are they more of a Surfside Girls type of potential deal or is it more Locke & Key or does it just vary?
Allan Grafman: So Iâm going to give a short answer and then Iâm going to invite Brooke to perhaps amplify. So we arenât â Iâm not going to be able to speak to what might happen, but very broadly I will say that Locke & Key is perhaps in some ways exceptional, the type of deal that was made quite a while ago. The types of deals that weâre looking for are to have success commensurate with the risk, with a lot of upside. And Brooke, would you like to amplify on that please?
Brooke Feinstein: Sure. So as Allan said, the Locke & Key deal that was signed many years ago, fees like that are not really in existence anymore. And the Surfside deal is a co-studio model. Now most of these deals that were optioned are executive producing fees, which would be a little bit less than the Surfside deals more kind of $0.5 million to a $1 million kind of range in there depending on the genre and what the show is going on behind it. So hopefully that answers your question.
Unidentified Analyst: Thatâs perfect. Thanks again and congrats.
Operator: And our next question comes from the line of  a Private Investor. Please proceed with your question.
Unidentified Analyst: Hi, I have a question about expanding into retail like can IDW  start some more, like getting more comments into like a Target, Walmart or like, when the shows come out partner with Netflix or Apple to say, hey we have, we also have comics related to what you're watching, pick it up at your â comic store or order online, stuff like that.
Allan Grafman: So Damien, I'm so glad you asked that question because Brooke and her team have done work, which shows that when TV shows like Surfside Girls and Locke & Key are aired, that it does drive more sales. And so yes, there's a consistent effort and there has been a change in distributors. Brooke, could you please amplify on that please?
Brooke Feinstein: Sure. Yes. So we are using Penguin Random House for our direct and non-direct markets now. So we are not directly involved in, if it's going to be in Target and we are exactly it's going to go. We are kind of refining our direct-to-consumer approach and seeing if there are areas that we can put some of the comics in at certain times and creating kind of links on different releases to kind of go to our website to allow people that accessibility to buy that. So, yes, we're in the middle of kinds of linking those more and ensuring that there is easier access when this shows premiere.
Allan Grafman: And if I may continue Damien, one of the areas that we are expanding and investigating and expanding at the same time is a direct consumer, direct-to-consumer has very, much enhanced profit margins. Part of the challenge is getting viewers and viewership of the site where these periodicals and graphic novels are available, but we are expanding the number of publications that will be available on a direct-to-consumer basis. So in addition to what Brooke said with the change of distributor, in addition to shows driving more sales, we are also looking to expand the direct-to-consumer element.
Unidentified Analyst: All right, that was all.
Operator:  And as there are no more questions, this concludes our question-and-answer session and conference call. I'll now hand the call back over to management for closing remarks.
Allan Grafman: So I want to thank everyone that took time to join us, very much looking forward to speaking with you and seeing and speaking with you at the fourth quarter call, which we'll all look forward to together. Thank you so very much.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.